Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Wausau Paper 2014 First Quarter Financial Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded. Now I’d like to turn over to your host, Director of Investor Relations, Perry Grueber. Please go ahead.
Perry Grueber: Thank you, Sean. Good morning, everyone. We appreciate you are joining us. I’m pleased to be here today with our new leadership team, Mike Burandt, our Chief Executive Officer; Matt Urmanski, President and Chief Operating Officer; and Sherri Lemmer, our Chief Financial Officer. After our prepared remarks we look forward to your questions. This call is being webcast and slides are provided to summarize key elements of our presentation. Your webcast viewer should allow you to download these slides and this morning’s earnings release, both of which are also available from the Investors section of our website at wausaupaper.com. During the call we will make forward-looking statements that are subject to known and unknown risks and uncertainties, including those outlined and referenced -- and references on slide two of this morning's presentation. Additionally, our presentation refers to certain non-GAAP financial measures. A reconciliation of these measures to GAAP is provided in the appendix of the presentation. With those formalities out of the way, I'd like to now introduce Mr. Michael Burandt, Wausau Paper's Chairman and Chief Executive Officer. Mike joined the Board of Wausau Paper in 2012 and has brought a wealth of tissue industry experience to the strategic governance of our company. Most notably, Mike, served as the Head of Georgia-Pacific's consumer and away-from-home towel and tissue business for many years. Now as CEO of Wausau, he is uniquely qualified to implement our strategy, lead a return to stronger levels of performance and advance our goals of increasing shareholder value. Mike?
Mike Burandt: Thank you, Perry. Before I begin, I'd like to provide some comments on the first quarter. I'd like to say a few words about why I'm very excited, frankly, to have taken on the CEO role here at Wausau. As Perry has said, I've been on the Wausau Paper Board for two years and have a number of year’s experience, 20 exactly, in tissue business running GP’s tissue operations, both the way-from-home and at-home, as well as the DIXIE brand business. The reason I took this job is that I see the enormous potential for the business and I'm confident that while there is still work to be done to improve efficiency of the operations, Wausau Paper is headed in the right direction and has significant upside opportunities. This is a good business. There's a good management team in place here. The new ATMOS machine that we have started up is on the start-up curve, but most importantly, I'm impressed with the technology and the unique positioning that this investment is going to provide to Wausau Paper. It enables us to compete in a premium and ultra-premium market with a sheet that's made from recycled fiber and equals the TAD sheet made from virgin fiber. It equals all the measurements of quality of a TAD sheet. No one else can make that claim and here is something else very important. The technology advantage clearly outweighs the start-up cost of this machine. We have just finished, frankly, a cost optimization analysis of the ATMOS machine. The analysis looks at the costs and inventory impacts of varying ATMOS run lengths based on our current product mix. Given the base set of operations, the optimal ATMOS run lengths is 28 days. However, the cost -- competitive cost curve is relatively flat from the mid-20s to the low 30s. Yesterday, we started up an ATMOS and will run for 26 consecutive days, which will be the longest run we've ever made on ATMOS. This will be, I'm convinced, an efficient run, the paper quality has improved and as a result, we are now experiencing greater converting efficiencies. To support the machine efficiencies, we're about to embark on a major focus in the entire sales production planning and distribution process. Taking advantage of software that will bring these disciplines together and make it one smooth process, which will result in cost reductions and greater efficiencies. Our Middletown, Ohio operation, I'm pleased to report is running extremely well. A couple of other things, I have met with a number of our customers who I know well and there is strong customer acceptance of our plan and our product strategy. Likewise, I have met with very large numbers of our employees and I'm confident in their capabilities and their desire to achieve this leading industry performance that we're capable of. So the product strategy is sound and when combined with our assets it will result in attractive margins. Continuing with our Green leadership position with a premium recycled tissue product is highly sought after by our customer base. Let me now provide a quick summary of the first quarter. It was clearly a difficult and disappointing quarter, as operations cost in the paper mills and price pressure impacted our earnings. EBITDA and revenue were impacted by seasonality, weather and competitive pricing, as well as operational issues. However, even with these pressures we saw a balanced growth in the market for us a plus point -- plus 2% against the year-over-year market decline. Record first quarter strategic shipments were up 3.9% and I'm encouraged by the performance of our double line -- DublNature line of products. Overall, we had a difficult January and February, but we're already making progress, March and April are significantly improved. Looking ahead, our goal is to create value for our shareholders by generating above average cost -- generating returns that are above our cost of capital. At this point in my short tenure, I'm focused on meeting our targets for this quarter, which is why we have withdrawn our guidance for the fourth quarter and full year, and provide guidance for the second quarter. We expect second quarter adjusted EBITDA to be in the range of $9 million to $10 million, which is reflecting a 10% to 11% EBITDA margin, compared to a 7.3% margin in the first quarter. We're also maintaining our long-term goals of earning more than the cost of capital and delivering EBITDA in the 20% plus range. That's a goal not a guidance. Remember we are 7.3% in the third quarter -- first quarter. So just as a summary, I'm excited to be here. I strongly believe in Wausau's strategy and I'm confident we have a compelling opportunity to create value for our shareholders. Our first quarter results were clearly not satisfactory, but as a result we are intently focused on executing better at across the Board and that's a promise. Now I'll hand it over to Sherri to provide more detail in the quarter.
Sherri Lemmer: Thank you, Mike. Our sales volume as measured in cases of paper products shipped was a record first quarter level of 3,854,000 cases. As Mike mentioned, this volume represents an increase of 2.2% over the first quarter of 2013, in a period when the overall away-from-home market was portably down approximately 1%. Strategic product shipments, those products that are sold in conjunction with our proprietary dispensing systems or that are produced from our premium substrates were up 3.9% in the first quarter of this year compared to the first quarter of last year. Despite our volume growth, the overall net sales line was relatively flat compared to the first quarter of 2013. Competitive pricing pressure while expected was greater than we anticipated, partly due to the excess availability of lower cost parent roles in the market. This excess availability is a result of capacity additions that resulted in lower asset utilization in the industry. We were unfavorably impacted about $600,000 in the first quarter by the Canadian currency exchange rate where we have exposure on about 10% of our total sales. So combine, these pricing elements drove an average net selling price decline of approximately 3% in the Q1 to Q1 comparison. On an EBITDA basis, in addition to the elements that impacted net sales, benefits of operational improvements and our costs realignment and reduction efforts helped to offset cost side negative variances like the estimated costs associated with the prolonged winter conditions. The result was an adjusted EBITDA of $5.6 million this year compared to an adjusted EBITDA of $5.9 million a year ago. The quantification of the various impacts on quarterly comparisons for continuing operations is provided on an adjusted earnings per share basis. For the first quarter of 2013, the net loss was $3.7 million or $0.08 per share. Excluding special items, such as a credit associated with the natural gas transportation contract at our former manufacturing facility and charges for settlement recorded for a defined benefit pension plan as well as an income tax valuation allowance against our cellulosic biofuels credit carry forward, the fourth quarter of 2013 resulted in an adjusted net loss from continuing operations of approximately $300,000 or breakeven earnings per share. For the first quarter of this year, we reported a net loss of $4.4 million or $0.09 per share. I mentioned the unfavorable impact of competitive price pressure and the Canadian currency exchange rates on our results. These components were the primary driver of average net selling price decline and related negative $0.04 per share impact in the first quarter comparisons. Looking at a reconciliation from the fourth quarter of 2013 to the first quarter of 2014, the unfavorable impact of competitive pricing and a slightly weaker mix of products sold in the first quarter was about $0.03 per share. The weaker shipments mix is consistent with our historical experience of fourth quarter to the first quarter dynamics. As mentioned, volume in the first quarter of 2014 was better than the year-ago quarterly period contributing about $0.01 per share including any weather-related market impacts. When comparing the first quarter to the fourth quarter, it's important to recognize that volumes are seasonally weaker in the first quarter. The seasonal weakness combined with an impact on volume due to weather-related factors experienced by the industry as a whole resulted in an unfavorable $0.03 per share. Overall from a cost perspective, we estimate that unfavorable impacts on energy and other costs related to the prolonged winter and cold temperatures resulted in an unfavorable quarterly hit to net earnings of approximately $0.01 per share. Although total fiber costs and depreciation unfavorably impacted the Q1 to Q1 comparisons, improvement in the rate of operations, material consumption and cost reduction efforts particularly in general and administrative spend resulted in a net benefit to the first quarter of 2014 compared to the first quarter of 2013 of approximately $0.04 per share. Paper machine trial work with a new Artisan product line and increased manufacturing input costs resulted in an unfavorable impact to earnings per share when compared to the first quarter of last year of about $0.02. From a debt perspective, total debt remains at $150 million. Net debt has increased from the year end level of about $130 million to approximately $144.5 million as we built inventory in preparation for our second quarter product launch as well as for higher anticipated sales demand levels in the coming quarters. We also have payments on various year end 2013 accruals such as sales incentives and customer rebates which drew down cash on our balance sheet. Our current unsecured debt structure is comprised of a private note shelf agreement for $200 million and a revolving credit facility for $80 million. At the end of the first quarter, we amended our debt agreements and agreed with our lenders to seek approval from our board to secure our long-term debt obligations in the second quarter. As of March 31, 2014, we were in compliance with all of the various covenants under our agreements. We are a much different company today than we were when these facilities were put in place in 2010. And as a result, we are currently in the process of evaluating various financing alternatives with respect to our overall long-term debt structure. We expect to have this process substantially complete by the end of the second quarter of this year. Including the bank fees associated with our currently undrawn credit facility, our weighted average cost of debt at the end of the first quarter was approximately 6.1%. With that, I will turn the call to Matt.
Matt Urmanski: Thank you, Sherri. Good morning. Today we like to cover in greater detail our outlook for the second quarter. Specifically, I will cover our sales growth expectations, progress on our new paper machine and conclude with the key assumptions for the second quarter of 2014. As Sherry mentioned earlier, Wausau's volume growth was up 2.2%. New products introduced last year allowed us to fare fair better than the away-from-home market overall which shrunk approximately 1% primarily from the effects of a tough winter season. More importantly, growth within our strategic product category grew 3.9%. The key driver to that growth is directly attributable to the relaunch of a DublNature brand, now primarily using our new ATMOS-based substrate. Since that introduction, volume grew 33% in the second half of 2013 and 40% in the first quarter of 2014. These data points are a clear indicator of the market acceptance of the DublNature product family. Thus far here in the second quarter, order and shipment activity has been strong. Our confidence in accelerated sales growth continues. Thus we are forecasting similar double major growth in the second quarter of 2014, now nearly a full year since the relaunch of the DublNature brand. I will talk about the progress of our new paper machine in more detail in a few moments. For one of the clear focus is in the first quarter of 2014 was to commercialize a second new line of products using the machines ATMOS capabilities. With the success of those trials, I'm pleased to announce that our new line of Artisan premium towel is being launched here in May. The Artisan product line is designed to compete with the most premium products in the away-from-home market. Artisan is uniquely positioned to be the only true premium product that is 100% recycled. The expected result, broader market access and segment penetration that cannot be matched by any competitor. In addition to our work on new towel and tissue products, we are truly excited about our progress on dispenser developments. First, we recently introduced our new tissue dispenser utilizing our patented OptiCore technology. This new design provides a high-capacity, high-quality tissue option in a smaller footprint that reduces waste and significant costs for the end user. Second, we expect during the summer of 2014 to launch a new-to-the-world towel dispensing technology capable of using all the branded products we produce today, the dispenser holds and allows for the full consumption of two 1000-foot rolls never before seen in our industry. As we serve end-user markets that seek cost efficiency at every turn, we are truly excited about the potential of these two new dispensers. We believe these introductions will be significant game changers in the industry. As mentioned earlier, we focused our operations on the commercialization of the new Artisan product line in the first quarter. And with the launch of the new products here in the second quarter, we view this as a clear success. There was, however, a first quarter financial impact due to this trial activity as we learned to produce and convert the new substrate. Those one-time issues are behind us and we are growing confidence in improving performance of the paper machine as we progress into the second quarter. Nowhere is that more clearly demonstrated than by the number of new production records we achieved in March of 2014, nine in total. We demonstrated our ability to meet and achieve targeted production levels. And this should provide financial benefits as we move through the balance of 2014. I would now like to share some thoughts on our second quarter outlook in comparison to the second quarter of 2013. First, we expect continued above market rate growth on the strength of the market acceptance of our new products and continued focus on strategic product sales. As such, we are targeting 5% to 6% growth in the second quarter which should more than double market growth. Given the continued competitive intensity we see in the marketplace, we are not forecasting price improvement, rather a view that holds pricing flat with the first quarter of 2014. This view expects our strategic mix to improve but to be offset by competitive pressures we have seen escalate since the second quarter of last year. Fiber price increases have been moderate over the last 12 months. However, we do anticipate slightly higher freight costs associated with energy pricing and some general tightness in carrier availability. Just more than a year removed from the start up of the new paper machine, we expect further operational cost improvements from our paper making platform as well as our converting operations. These improvements should offset all of the inflationary pressures we see throughout 2014. Finally, we expect higher SG&A costs driven by significant increases in public company expenses versus a year ago. Absent of certain proxies and advisory costs, SG&A would actually be down year-over-year. Combining all these elements, we expect an adjusted second quarter 2014 EBITDA in the range of $9 million to $10 million, compared to $8.8 million in the same quarter of 2013. Mike?
Mike Burandt: Thank you, Matt. So in summary, let me just say this. Our results for the first quarter were clearly not satisfactory and some impacts were not within the company's control. We need to execute better on our strategy. While I've been the CEO for a short period of time, it is clear to me that Wausau has a fantastic combination of brands, employees, assets and distributors. I have the utmost confidence that Wausau can deliver superb performance and substantial value over the long-term. That is our commitment. With that, I'll turn it back to Perry.
Perry Grueber: Thanks Mike. Sean, will you poll for any questions please?
Operator: Thank you. (Operator Instructions) Your first question will come from the line of Mike Roxland from Bank of America Merrill Lynch. Please go ahead.
Mike Roxland: Thanks very much. Congrats, Mike and Mark on your new roles. Tell me if I'm right. Sounds like you're dialing back the production and support product categories on your new machine. Is that what I'm hearing? Because certainly that's been, I believe at least, a little bit of a headwind that the company's experienced. Because it sounds like you were -- the company itself was going in between producing support product categories and the strategic product categories on the new machine, which led to higher cost. But it sounds like the strategy with respect to the new machine has now changed.
Mike Burandt: Matt?
Matt Urmanski: Yes. Relative to that question, really as you think about last year 2013, we were very deliberate about being aggressive with growing within our EcoSoft product category, which would also include those support products. In the second half, we had very strong product category growth. That is not a change in our direction. Ultimately, when we have the DublNature products and now fully in place for a full year and now with the launch of the Artisan products, our focus has been and continues to be on proprietary dispenser products and strategic products. Last year was a very necessary step though, to create momentum and growth into the launch of these two new brands.
Mike Roxland: And so with the Artisan, you're running on the new machine. So you're basically because of the rollout of these new brands, you're now spending less time with new machine producing these support product categories?
Matt Urmanski: That's fair to say that the machines more full of the new ATMOS substrate paper today than certainly a year ago. Now that we have a full year of DublNature with strong growth, and then ultimately the launch of the Artisan products here in May.
Mike Roxland: Got it. Thank you. Why continue to -- why not try to minimize the production of your support product categories, given the headwinds that you're facing in that particular product?
Matt Urmanski: One of the things that's very important for us is when we support a distributor, we need to support all their product needs and we believe we're uniquely positioned with our good, better, best strategy to really provide all the products that they need within the marketplace. So those conventional products, those near premium as Mike covered earlier in the call, premium and ultra-premium products. So it's important for us to have that full portfolio to service all their needs and for them to come to Wausau for their solutions.
Mike Roxland: Got it. Okay. And then two final questions and I'll turn it over. How did your converting operations fair during the quarter, especially given the new base sheets and other products? I think the converting ops are still in transition and getting up the curve as of last quarter.
Mike Burandt: Converting operations obviously are affected by the quality of the sheet, as we are having problems learning the ATMOS manufacturing. It was having impacts on our converting operations. We are seeing improvements in converting efficiencies now, as the quality of the sheet is improving coming off the ATMOS mode, substantial improvement. And we should see even greater efficiencies with this long run we're doing at ATMOS right now. We should see much greater efficiencies in our converting operations because the paper coming of that machine is much better right now.
Mike Roxland: Would you say that you've started to see those efficiencies in March and April?
Mike Burandt: We're seeing it right now in May, a big time in the middle of April it started and we are seeing it now, yes.
Mike Roxland: Got it. And then last question actually, Mike, regarding capital allocation. Has there been any change in the company's thinking regarding capital allocation? A few quarters ago, the company announced that it would first focus its free cash flow on additional investments such as dispensers. And I think that was targeted at $25 million to $30 million, then you had converting capacity to $15 million to $20 million and then there was the potential for opportunistic acquisitions. All that was the primary focus of the company rather than actually targeting free cash flow to shareholders, is that still the strategy of the company or has there been a change now that you've taken the helm of the company? Has there been a change in thinking about how the company's going to use free cash flow?
Mike Burandt: Well, we're constantly evaluating cash flow policies. We will discuss with the Board. We have a policy that says, we want to return cash to shareholders. We need to determine that methodology. We need to well understand the real need for growth capital. And we will reevaluate our cast position on a regular basis. There's been basically no change in our structure or our philosophy on cash capital return to the shareholders. We will evaluate regularly what that is.
Mike Roxland: So as the -- as what I read out there in terms of the company's thinking originally in terms of spending on the additional investments and converting capacity and the potential acquisitions, that's going to be the primary focus of free cash flow first and foremost. And then if there's any excess free cash flow that's when you consider returning that cash to shareholders?
Mike Burandt: In some form, yes.
Mike Roxland: Okay. Thank you very much. Good luck in the quarter.
Mike Burandt: Thanks Mike.
Operator: Thank you. And our next question will come from the line of Elie Mishaan with Corsair Capital Management. Please go ahead.
Elie Mishaan: Hey, guys. Thanks for taking the question. Michael, you mentioned in your prepared remarks that you have a goal, that's not guidance but you have a goal of 20% EBITDA margin. I think I got that correct. I'm curious, what realistically is -- I'm not looking for an exact date, but just what's sort of a realistic timeframe to think about getting there in terms of how long it takes to get the work done on the new machine and get it running efficiently and optimizing the assets there?
Mike Burandt: I think it will be a gradual improvement. We know we're seeing it in the second quarter. And I believe that we'll see a gradual improvement coming from cost efficiencies. We'll see in the mills. Giving you a timeframe would be difficult to do. What I will tell you is that we'll see a small continuous improvement in our EBITDA margin.
Elie Mishaan: All right. Okay, great. Thank you.
Operator: Our next question then will come from the line of [Dan Cowen] (ph) with Sidoti & Company. Please go ahead.
Unidentified Analyst: Hi, good morning. Can you guys hear me?
Mike Burandt: Yes, Dan, how are you?
Unidentified Analyst: I am well. Thanks for taking the question. Just, I guess, since we are talking about free cash flow, are you guys still CapEx guidance $35 million for the year?
Sherri Lemmer: Right now, what we would say for the year would be about $25 million in capital.
Unidentified Analyst: $25 million in CapEx, that’s lower from what you said last quarter, right?
Sherri Lemmer: Yes. Again, it’s -- we're right around that $25 million mark.
Unidentified Analyst: Okay.
Sherri Lemmer: As part of our process we obviously evaluate capital on an ongoing basis, and that's the projection at this point.
Unidentified Analyst: Okay. Fair enough. And I think you're expecting flat sort of pulled fiber costs in 2Q, is that correct?
Mike Burandt: As we look at the second quarter, we see fiber really being moderate to the experience we had in the first quarter.
Unidentified Analyst: Right.
Mike Burandt: I think longer term as you look at Q3 and Q4, you look at a modest increase.
Unidentified Analyst: Okay. And probably you’re not going to tell me, but can you remind us at sort of what percent of your pulp do you buy kind of under contract versus on the spot market?
Mike Burandt: We buy really three sources of fiber, parent rolls, recycled pulp and then waste paper. It's really a mixed of I would say in general terms probably less than 50% under contract.
Unidentified Analyst: Less than 50% under contract?
Mike Burandt: Of that combined fiber basket.
Unidentified Analyst: Which is probably like 40% of your COG? Is that safe to assume?
Mike Burandt: Say that again?
Unidentified Analyst: The fiber basket would be 40% of your cost of sales?
Mike Burandt: I would say that 40% to 45% rate is pretty close.
Unidentified Analyst: 40's pretty close? Okay, great. You said trend accelerated, March and April, so it sounds like May is going well. So did April accelerate out of March?
Mike Burandt: We have clearly seen a pick up in order activity. I think the seasonal pressure that was there in Q1 is behind us. One thing that’s important to note that away-from-home business is not really a possibility to regain lost volume in the quarter because of the weather impacts. But we are seeing a very robust pattern as we entered into the second quarter, both from I think the continued launches but also getting past the weather-related issues in the first quarter.
Unidentified Analyst: Okay. Makes sense. And then kind of lastly, more of a philosophical question, I know you just got asked on the long-term EBITDA margin is 20%. I guess just looking sort of at the back half, 5.6, 1Q, let's call it 10 million, 2Q, and then I think your last EBITDA range guidance for the year was 16% to 19%. So assume flat sales when you hit the low end at 16%, that would imply that you would have to do $40 million EBITDA, let's call it, in the back half. And I think you did $22 million back half in 2013. So maybe you could provide some comments on that or thoughts just to kind of see how we get -- how we bridge the second half last year to this year? What kind of has to happen?
Mike Burandt: Well, what has to happen -- the launch of artisan's going to have a big impact on our business in the second half. That's going to have a marked improvement in our margins. And I'm firmly convinced that we are going to see operating efficiencies come into play in the second half as we are doing some of these issues that we've been talking about. Again, I don't want to provide any strong guidance. I will just tell you from what I am seeing right now and from what we are working on, I feel quite confident and bullish about the direction we are headed and that we will see margin improvements as we go forward.
Unidentified Analyst: Okay. Excellent. Appreciate that. Good luck with the rest of the quarter.
Mike Burandt: Thanks, Dan.
Operator: (Operator Instructions) And we have a question from the line of Wayne Archambo with Monarch Partners. Please go ahead.
Wayne Archambo: Yes. You talked about 20% EBITDA margin goal. Could you share with us whether or not senior management's compensation is directly tied to that goal?
Mike Burandt: Yes. It is.
Wayne Archambo: It’s done on an annual basis. And, I mean, could you get any -- can you elaborate any further on that please?
Sherri Lemmer: Well, we have various compensation plans. So we have short-term compensation plans and we also have longer-term compensation plans. In the form of primarily stock incentives or stock-based incentive compensation so ties tied to equity and what we provide back to our shareholders, so a total shareholder return. There are also near-term compensation that is truly based on the financial performance of the company and based on metrics such as our EBITDA performance.
Wayne Archambo: I’m just trying to get a sense of your sense of urgency to achieve that goal, because you were somewhat evasive regarding the timeline on the 20% number.
Mike Burandt: Well, I'm not trying to be evasive, but I'm trying to be realistic to say how quickly can we get this going to those levels? We will see. Again, we will see a continuous improvement, I believe that the 10% to 11% in Q 2. I believe that will escalate into Q3 and Q4 based on the plans that we’re working on right now, but we have a sense of urgency of getting this done, but I want it to be something that's going to be long-lasting.
Wayne Archambo: Okay. Again, like I said, is it five years away, is it 10 years away? We really have no sense of, if that's even a realistic number. So that's the reason for the questions.
Mike Burandt: It's not five years away. It's much less than that.
Wayne Archambo: Okay. Thank you.
Operator: (Operator Instructions) And at this time, I show no one queuing up for questions.
Mike Burandt: Okay. Thank you, Sean. We appreciate everyone taking part in today's discussion. On behalf of my colleagues here in Harrisburg, Middletown and Mosinee, and our customers across North America we thank you for your continuing support of Wausau Paper. I will be available the balance of the day for any follow-up questions you might have. Have a great weekend. Thank you. Sean?
Operator: Thank you. Ladies and gentlemen, this conference will be available for replay after 11 a.m. today through May 16, 2014, at midnight. You may access the AT&T Teleconference Replay System at any time by dialing 1-800-475-6701 and entering the access code of 325608. International participants please dial 320-365-3844. Those numbers again are 1-800-475-6701 and 320-365-3844, with an access code of 325608. That does conclude our conference for today. Thank you for your participation and for using AT&T Executive Teleconference. You may now disconnect.